Operator: Good day, and welcome to the LendingClub Corporation's Second Quarter 2019 Earnings Conference Call and Webcast. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Simon Mays-Smith, VP of Investor Relations. Please go ahead.
Simon Mays-Smith: Thank you, and good afternoon. Welcome to LendingClub's 2019 second quarter earnings conference call. Joining me today to talk about our results and recent events are Scott Sanborn, our CEO; and Tom Casey, our CFO. Our remarks today will include forward-looking statements that are based on our current expectations, and forecasts and involve risks and uncertainties. These statements include, but are not limited to, our guidance for the first quarter and full year 2019. Our actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are described in today's press release, and our most recent Form 10-K and Form 10-Q filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. Also, during this call, we will present and discuss both GAAP and non-GAAP financial measures. A description of non-GAAP measures and reconciliation to GAAP measures are included in today's earnings press release and related slide presentation. The press release and accompanying presentation are available through the Investor Relations section of our website at ir.lendingclub.com. And now, I'd like to turn over the call to Scott. Scott?
Scott Sanborn: Thank you, Simon. And welcome everyone. We've had a good second quarter building on the strong results from Q1 and in what continues to be a dynamic environment we are firmly on track to deliver against our key goals for the year. On the top line, we grew originations and revenue in line with our expectations setting new records for both. On the bottom line, we are executing ahead of schedule generating record contribution margins and enabling us to raise adjusted EBITDA and adjusted net income guidance. And we're making continuing progress on our long term strategy, launching innovative new capabilities that will set us up for the next stage of growth and margin expansion. Throw some perspective on the Q2 numbers, since I took over as CEO three years ago, we have increased originations by 60% while tripling contribution dollars. We are leveraging our data, scale and marketplace model to execute with discipline and compound our competitive advantages. We are the number one provider of personal loans in the country and we're gaining market share of 80 basis points to 10.5% in Q1. It took us five years to generate 1 billion of originations and we now generate 1 billion every month. Back in February, I said LendingClub would drive responsible revenue growth in 2019 continuing to innovate while carefully allocating capital, managing risk and simplifying our business operations to drop more of our top line growth through to the bottom line and we're making great progress on all fronts. Let's start with responsible growth. Against our toughest comparable quarter from last year, we grew originations volume 11% and revenues 8% and we translated that growth into 52% contribution margin and record adjusted EBITDA. We expect Q3 revenue growth and adjusted EBITDA to be better than Q2, placing LendingClub at an important inflection point as we move to adjusted net income profitability. In our investor franchise, our marketplace model and ongoing product innovation is driving our transformation from alternative assets to a mainstream asset class. In the second quarter, we facilitated a record 3.1 billion worth of loans. We issued our first Moody's rated securitizations, which brought four new investors to the platform, increase the appetite from existing investors and supported improved pricing. In July, we launched levered certificates, a new addition to our very successful club certificates program. Levered certificates use built-in financing to deliver competitive risk-adjusted returns to two separate investors, each with different credit and risk profile. This structure is more efficient for investors and more efficient or LendingClub than a traditional securitization an early indications suggest that we will get demand from both new and existing investors. So for reference on how product innovation is supporting our growth this quarter more than 1 billion in loans or roughly a third of our volume was in our structured program, which did not even exist just two years ago. Let me turn to the borrower side and start with demand generation where we continue to excel. We are leveraging our scale, data and testing to improve our customer acquisition costs while growing new channels and marketing partnerships. In throughput, our efforts to drive conversion by removing sources of friction and confusion is paying off in terms of both customer satisfaction and our bottom line. Better use of data, increased automation and new communications approaches have increased our conversion rate, reduced our unit cost of operations and accelerated time to approval. For example, in Q2, 72% of our personal loan customers went from application to approval within 24 hours, that is up from 46% only a year ago. Part of this improvement came from our work to build a lifetime relationship with our members and this is unlocking a large long-term opportunity for LendingClub. On lifetime relationship are executing against a two-part strategy. The first is what we call visitor to member, it is centered around delivering an amazing experience that provide ongoing value to our more than $3 million. It starts by recognizing and rewarding returning customers to product and experience enhancements that deliver a true welcome back experience with a dramatically streamlined application process. Our vision is to deliver our members of one click loan, enabled by continuous underwriting which will expand the use cases of our product and create a competitive mode. In support of this vision, we've redesigned our member center and we included ongoing credit monitoring so that the 450,000 members who visit us every month can track progress against their financial health and eventually be presented with targeted opportunities to increase their savings. So that’s visitor to member. The second part of our lifetime relationship strategy is what we call product to platform. Our long-term vision is to create an integrated ecosystem of partners delivering a broad range of products and services to LendingClub’s 14 million annual applicants and 3 million members. Product platform will leverage our world-class demand generation and throughput capability to seamlessly deliver more ways for members to improve their financial health. We are making good progress on product platform as well. In April, we announced our partnership with Opportunity Fund and Funding Circle to increase access to affordable credit for small businesses. And today, we are launching the Select Plus Platform which opens up our marketplace to sophisticated investors to identify opportunities to approve borrowers across the credit spectrum who fall outside the current criteria. While we’re just getting started here over time when applied to our over 14 million annual applications this has a potential to further grow our member base, improve the efficiency of our marketing an increase customer lifetime value. Our ongoing analysis suggested that our visitor to member and product platform strategies would be enhanced by having a national bank charter. To be clear, our vision would be to maintain our marketplace model and support it with a marketplace bank. The marketplace bank could enhance our lifetime relationship with members through a broader range of products and services and enable us to serve our investor bank partners more efficiently. We believe the bank charter would likely generate additional growth and margin potential over the medium term at a new source of low-cost funding to our marketplace and give us greater resilience and regulatory certainty. That said obtaining a national bank charter is a significant undertaking in the long road but there's a lot to get done and it will take some time and involve investment. We’ll continue to update you as things evolve. So to finish, we’ve had a good first half. We are executing with discipline against initiatives on both sides of our platform delivering against our near-term goals and building towards our longer-term vision. We know we can do more and we are executing with urgency to simplify our business and expand margins. And importantly, we are on track to hit our 2019 financial goals and to be adjusted net income profitable. The management team and I are excited about the opportunities ahead to deepen the relationship with our members, grow our addressable market, widen our competitive mode, enhance our resilience, and increase our margins. Our continued success is based on the hard work and innovation from LendingClub’s and from our partners. And I'd like to take this as an opportunity to thank each and every one of them. With that, Tom I'll turn it over to you.
Tom Casey: Thanks Scott. It’s been a busy quarter but before I chime into our second quarter results I want to emphasize two things. First, our simplification plan is ahead of schedule and that means we're raising our full year adjusted EBITDA and adjusted net income guidance are on track to be adjusted and income positive in Q3. And second crucify our simplification program our 52% contribution margin in Q2 was our highest ever. As I stated last quarter, our simplification program has fundamentally transformed the way we operate enabling us to originate new customers at lower cost. Our simplification program leverage is the flywheel effect from our scale and competitive advantages giving up the roadmap to our medium-term adjusted EBITDA margin goal of 25% and our new contribution margin target range of 50% to 55% over the medium term. Moving to Q2 results our start by reviewing our performance with a focus on our cost of simplification initiatives and then finish with our Q3 and full year outlook. Starting with 2Q results, we had another in line quarter with revenue up 8% to $191 million against our strongest comparable quarter from last year. On the borrower side of the platform, transaction fees grew 12% to $152 million on the back of a 11% growth in originations and four basis point increase in transaction fee yield reflecting the benefit of our Q4, 2018 based optimization efforts partially offset by the ongoing shift towards higher quality credit loan. Net investor revenue was down $4 million to $36 million with growth and investor fees and gain on sale of loans offset by higher net fair value adjustments. As we noted last quarter, we've already tightened pricing and credit at the higher risk end of prime and we feel good about our credit outlook though we continue to expect the fair value adjustments to be elevated for more quarters to those credit and pricing adjustments are reflected and investor returns. Investor fees generated from our loans under management were up 18% to $32.3 million reflecting our loan servicing portfolio growing 18% to $14.8 billion. The size and growth of loans under management is significant as it represents a recurring revenue stream, the strong margins and gives you good visibility into the scale of the customer base we will leverage with our visitor member and product to platform strategies. Gain on sale revenue was up 17% to $13.9 million driven by 18% growth in loans sold to $2.75 billion. Other revenue was $2.8 million with the increase primarily reflecting the rental income we're earning from subletting our San Francisco property while the rental cost for our new Lehi facility appears in G&A. Before I get into the detail G&A let me talk about our scale and the competitive advantage that drove our contribution margin up 390 basis points. Marketing and sales expenses were $67.3 million broadly level with last year with MNS as a percent of originations 23 basis points better year-over-year to 2.15%. This is especially notable considering we grew volume, tighten credit and increased prices over the last year. The 10% improvement was driven by our efforts in demand generation and conversion and also benefits from our simplification program. To give you some perspective MNS averaged 2.48% in 2017, 2.4% in 2018 and 2.37% in the first quarter of 2019. At 2.15% our work to improve MNS as a percent of originations has resulted in a step change reduction in our customer acquisition costs. And our goal is to sustain our MNS efficiency close to these levels for the remainder of the year. Origination and servicing costs were down 2% to $23.9 million. ONS cost as a percent of originations improved 11 basis points or 12% largely as a result of our BPO program we started a year ago. We expect to see further improvements in the second half of the year as we continue to benefit from our moved to Lehi. As a result contribution dollars and margins hit new record at $99.6 million with margins of 52.2%. As I said earlier, we are now targeting contribution margin in the range of 50% to 55% over the medium term with the seasonality of our business and the timing of our investments contributing to variances in that range. So let’s talk about our fixed expenses in engineering and G&A. Total cash engineering expenditures grew 3% to $36 million with engineering operating expenses up 18% to 26 million and engineering CapEx spend up 10 million down 23%. As we indicated last quarter, we are optimizing our technology infrastructure to support key initiatives that will drive differentiation for LendingClub. As we used more infrastructure partners and transition to the cloud we are shifting the mix of our engineering spend from CapEx to OpEx lowering our depreciation and amortization cost. G&A expenses were up 7% to 40.4 million. As I noted earlier, the revenue from our subletting of our San Francisco property, appears in other revenue while the rental cost of our Lehi office is in G&A. If you strip out the effect of this mismatch G&A expenses only grew 4% which is half of our revenue growth. With the benefit of our hard work on MNS and ONS efficiency adjusted EBITDA grew 29% to a record $33.2 million with margins improving 2.9 points to 17.4%. Put another way, we grew revenue 13.8 million an increased EBITDA by 7.5 million reflecting a 54% pull through from revenue to adjusted EBITDA. So now let’s move down to GAAP net income, stock-based compensation was $20.6 million declining 40 basis points as a percent of revenue to 10.8%. Depreciation, amortization and other net adjustments totaled 13.9 million. As a result our adjusted net loss which excludes nonrecurring items was on the cusp of breakeven at negative $1.2 million. Moving down the P&L, nonrecurring costs totaled $9.4 million. This includes $6.8 million of legacy issue expenses and also 1.9 million of simplification program costs mostly related to nonrecurring personnel expenses. Combine these items are reported GAAP consolidated net loss was $10.6 million. Before I move on, I’d like to note one balance sheet and cash flow item. We’ve included our net cash and financial asset amount on page 13 of our press release. As you can see net cash and financial assets picked up quarter-over-quarter and we expect future positive cash flow to underpin our value generation potential.  With that let me give you an update on our simplification program. We’re very encouraged by our progress here and are executing multiple initiatives across the company ahead of schedule. As you can see from our press release, we ended the quarter with over 450 operations and tech support personnels across our BPO sites and 309 FTEs at our Lehi site where we're realizing average salary savings of approximately 25%. As a result of our BPO and geo location initiatives, we have already reduced our real estate footprint in San Francisco by 125,000 square feet and we’ll be using 70,000 square feet in Lehi and paying about 50% less per square foot. The savings from these initiatives are obviously contributing to our 2019 results and will add to adjusted EBITDA margin as they annualize in 2020. As I mentioned earlier, we can already see that our simplification program is transforming the way we operate our business. Now that we have our December 2017 Investor Day goal of 20% adjusted EBIT margins in sight. We believe that our revenue growth and the annualization of savings from the simplification program in 2020 and further benefits in 2021 give us a medium-term roadmap to our next milestone 25% adjusted EBITDA margins with further opportunities beyond that. Let me finish with our guidance which we set out on Page 5 of our results presentation deck. Origination growth was on track in the first half of the year resuming broad macro conditions remain similar over the second half of the year. So expect that origination growth to continue. As I indicated earlier, fair value adjustments will again mean that Q3 and Q4 revenue growth is slower than origination growth. We expect record revenues in Q3 between $200 million and $210 million with the growth rate between 8% and 14% depending in part on the level of fair value adjustments I just mentioned and the mix of the loans originated and sold on the platform. This implies 10% to 12% revenue growth for the first nine months of the year and puts us well on track to land near the middle of our full year guidance range of $765 million to $795 million range. We expect Q3 adjusted EBITDA to be in the range of $35 million to $40 million implying margins between 16.7% and 20%. For the full year, we are tightening up the bottom end of our range of adjusted EBITDA by $5 million to a range of $120 million to $135 million. We expect Q3 stock-based compensation charges of approximately $21 million and depreciation and amortization and other net adjustment charges of approximately 14 million in the third quarter. While we still expect stock-based compensation charges of approximately 81 million for the full-year. We are now expect depreciation, amortization and other net adjustment charges of approximately 59 million as of benefit from the shift of our engineering spend from CapEx to OpEx that I talked about earlier. We therefore expect adjusted net income profit in Q3 between zero and $5 million. As a result of our higher EBITDA guidance and lower G&A guidance, our full-year adjusted net income guidance range is a loss of $5 million to $20 million. As you can see on Page 5 of our Q3 investor presentation, the lower end of our full-year adjusted net income range has improved when compared to our previous guidance by $9 million on the bottom of the range and by $4 million at the top. This is due to our $5 million higher adjusted EBITDA guidance at the bottom of the range and $4 million lower depreciation and amortization costs across the range. We’ve again excluded non-recurring cost from both our GAAP consolidated income and adjusted net income guidance to give you a better view on the underlying performance of the business. We will update GAAP consolidated income guidance each quarter as we incur these charges. As you heard, we've had a strong first half. Our innovation, simplification program and partnerships are transforming LendingClub, meaning our revenues are on track and we’re able to raise adjusted EBITDA and adjusted net income guidance and we remain confident in the full year. Scott, back to you.
Scott Sanborn: Thanks, Tom. As you can see we had a good start to the year and we are on track to hit our 2019 financial goals. So I’ll turn the call over now to Q&A
Operator: [Operator Instructions] First question will be from Brad Berning with Craig Hallum. Please go ahead.
Brad Berning: I want to touch base a little bit more on the controllables in the operating efficiencies you are driving if you go a little bit deeper on the sales and marketing. You talked about second half being similar to the current level despite the seasonally tougher period usually, so can you talk about where do you think ultimately you can go, can you go back to where you were a couple years ago on the initiatives that you're seeing, or should we think about these are kind of the new levels to think about? And then secondly is a follow-up, you talked about getting to 25% plus pass the medium term, just talk about what you're seeing for additional scalability as you’ve gotten deeper into the simplification process as well?
Scott Sanborn: Brad, it’s Scott. I'll start and then Tom maybe I’ll pass it to you. So first question on sales and marketing, what's driving the efficiency as you can see kind of total dollars spent year-over-year are pretty much in line on significantly more volume. And is the combination of things, we talked last year about investing in our targeting databases and that is starting to payoff. We are making good use of the scale, the amount of volume flowing through our processes allow us to text messaging, experiences and really optimize for the different consumer segments and audiences. The third is the conversion efforts. We've been working on which are driving more people through the process more quickly, so we’re picking up value there. And the last is really leveraging our on scale in terms of our vendors in our external relationships, so all of those are kind of contributing to driving the results. As Tom mentioned, as we look towards the end of the year, we expect to be able to maintain those even as of the percentage basis as we head towards the back half year. I wouldn’t anticipate them coming down substantially as we continue to drive growth. And the other thing I would say is as I talked a little bit on the call about a lifetime relationship strategy and as we begin to unlock that we will be increasing the customer value to LendingClub, which will also give us a little more fuel to be investing in building our membership base overall. So more to come on that when we talk about next year and beyond but that's how I would think about it. Tom I don’t know if you have anything to add.
Tom Casey: I will just add – I’ll give you lot of information today but one of the things I want to make sure you understood is that in the first half now we've seen a pretty significant restructure of our cost base and so what you're seeing is our contribution margin come up nicely. We will get soon additional benefit between now and the second half, but most importantly, we are now pressed out in a position where our growth is more profitable. So for every dollar that we’re bringing to the revenue more of that’s hitting the bottom line. I think that’s the most important thing for everyone to understand the cost of growth has been - has been reset and we're more efficient. And so we’re encouraged with the progress we made and leveraging our scale and all the efforts that Scott mentioned, but it’s a combination of all of expense initiatives as well as all the data and process changes in marketing activating we are doing.
Operator: The next question comes from Henry Coffey with Wedbush. Please go ahead.
Henry Coffey: Yes, good afternoon, everyone and thanks for the detail. [indiscernible] so I apologize. So the operational issues are very clear and they're all moving in the right direction. What is the profitability of these sort of alternative relationships that you have, the new platform with more sophisticated consumer investors and then of course, small business flow and is that impactful or is it just a part of the rounding?
Scott Sanborn: Well, right now we’re just getting started but in terms of how to think about it, it has the potential to be very meaningful and in terms of the contribution in exchange for the effort is highly accretive, because it in a way to think about our marketing acquisition is most of those costs are sunk to bring people to the websites. So our ability to not only deliver better experience for their customer and give them what they came to get but I think the marketing dollars that we already spent and turn it into revenue that would have already done is meaningful. I want to make sure as you think about the launch of the Select Plus Platform, just a little more color on how we're thinking about that as we get off the ground. It really is addressing customers across the credit spectrum, so this is not - when we say their people outside the criteria that could be people the average Fico we’re seeing already through that is in line with our overall platform average. So it’s just people who have a different view of credit or a different segments. So we talk about the fact that over the past year we’ve cut credit to more close to 20% and we had investors coming to us saying hey, we liked some of that risk and you know if one could just allows them to put their money where their mouth and where their analytics are, right. And you know, like I said better experience for the customer, more efficient marketing for us and its also eliminates any kind of funding risk or a fair value risk associated with that method of disposition. So just getting started, first part relies, so right now is it meaningful, is there a meaningful contributor to our earnings? The answer is no, but on an exchange for the effort we're doing it is highly profitable on an individual basis and we think it has the potential to growth. So we’ll - our goal would be to add a few partners, optimize our platform over the course of the coming six months and then work on our long-term strategy. All of this fitting into the broader product to platform idea of just opening up our marketplace to other people who can serve the consumers that we have validated identity, and income, and assess creditworthiness, how often we serve them not just to our own efforts but through the efforts of others.
Henry Coffey: You know, conceptually a bank would obviously be very exciting whether you think about it from the point of view of a product offering or from the point of view of the stability that it gives you in the financial services sector. There are probably more than one bank analyst on the call and you know the environment for new bank charters waxes and wanes, sometimes it’s zero and sometimes there's a lot of excitement over it. What is the dialogue with the various regulatory parties like right now?
Tom Casey: So we agree. We do think the addition of our marketplace bank charter to our funding mix and to our overall customer offering gives us a lot of opportunities and I would say we are you know, we're really pleased with the engagement we are getting from the regulators. We’ve been out there for now 12 years and we know we've invested considerably in our overall controls and compliant infrastructure and I think even given the size that were outside as I mentioned 10% of unsecured lending in the country, I think being a direct part of the system is positive all around.
Henry Coffey: The balance sheet is where it all finally gets told. I mean, I know - you know I am not a TMT analyst. I tend to think more like a finance analyst, but you did add $12 million of cash. You're growing your net receivable balance, which is also a source of liquidity and it sounds like we are going to be seeing more of that as the business evolves to higher levels of profitability?
Tom Casey: I don't think that we're generating of trying to build a portfolio. We clearly have that if they come through our balance sheet to facilitate some of our structured programs to reach new investors but this is not a originate the whole model. That’s why Scott mentioned It’s a marketplace like and we are generating free cash flow as you mentioned. Our cash grew this quarter and you know, our operating cash even grew more. When you look at our EBITDA less our CapEx, we just maybe generating about $60 million of operating cash flows quarter. Obviously new instruction charges took a little bit off that. So that you see the net impact on the financials on Page 13,were about $7 million in cash. So we feel like cash generation is important and obviously we have a lot of capital that to support a lot of our efforts and then clear our risk management.
Henry Coffey: I mean, I was just looking at the combination of cash and securities which is up $12 million this year, is that where the cash is going to build or do you see it sort of falling into other places of the balance sheet?
Tom Casey: No I think - look, I don’t think that what you’re seeing is just the output of our ongoing growth of originations and us pulling loans out of the platform to sell in these various structures. Nothing noteworthy on how reasoned the balance sheet definitely help events.
Henry Coffey: It looks very good though, so thank you.
Operator: The next question will come from Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Thanks for taking my questions. Just a couple. So last week one of the largest marketing partners touched on higher competition in the personal loan space. However, judging by origination growth and your marketing leverage, you've been able to combat those some of those competitive factors. So can you touch on that. And then my apologies if I missed this in the opening remarks but your transaction now yield was down quarter-over-quarter, maybe you talk about what drove that?
Scott Sanborn: Yes, hey, Jed. This is Scott. So on the competitive fronts I think what you are correctly seeing is the real benefit of this model or ability to be really covering across the spectrum and driving towards the lowest cost to capital which drive towards the value for borrowers in our ability to create all these different experiences, means we are very formidable as a competitor and we’re in kind of wave three of competition. We’ve seen multiple waves come and go. I wouldn't - I would say who we are competing with changes quarter-to-quarter but I won’t say the overall level of competition that is manifesting to us in Q2 differently than say Q1,I’d say, who is competing and how they are competing is continuing to evolve but we've got you know, we've got the ability to leverage the full breath of the platform, the scale of the data that we’re doing to really pivot to the channels and segments at any given quarter that that are working. The question on that transaction, if you have any color Tom. It’s really a mix question.
Tom Casey: That’s right. It was down about 10 basis points from 1Qto 2Q,pretty straight forward just the mix Jed on the more and more As and Bs in the mix that come in and lower the transaction fees. Our investors are looking for higher quality loans. They come in at a slightly lower transaction fee.
Jed Kelly: And then one more, I mean if you just sort of look at the value of your stock on any PEG ratio EV to EBITDA, it looks attractively priced pretty cheap and you said just you have $670 million of net cash, I mean what’s preventing you from doing any buybacks just how should we look at that capital deployment?
Scott Sanborn: So we're very open to thinking through future uses of the capital including a return to shareholders. But as we've talked about there's a couple of things that take near-term priority. Those include resolving the legacy issues and capitalizing the bank. So as those two things become clear we'll be in a position to evaluate all of the other uses of capital.
Operator: The next question will be from Eric Wasserstrom with UBS. Please go ahead.
Eric Wasserstrom: Thanks very much. Scott a couple of different questions. Just to follow-up on some of the strategic items that you talked through in earlier in the call, in terms of the bank turn, what was the next milestone that we should look for in terms of the evolution in that thought process?
Scott Sanborn: So as I said on the call this is it's a long process involves multiple, multiple regulators where we are right now is we're as we said last quarter, we're kind of in the evaluation phase we're at a point now where we feel like in weighing the pros and cons benefits and advantages where we're in the pro phase, we do believe that this is accretive to the long-term business. In terms of next steps right now, we're in the business planning phase of what would that look like for discussion with the regulators to make sure we've got a plan that everyone is comfortable with.
Eric Wasserstrom: And on the Select press announcement, I guess I'm struggling a little bit to understand how that is doing from just the more typical operation of the LendingClub platform in which there's capital available looking for a return at a certain level of credit risk. How is this distinct from that?
Scott Sanborn: Yes, thanks for asking that clarifying question, it is different. And so the biggest difference being on the core platform it operates in such a way that there is a credit box available and investors and that results in loans that get presented to investors for funding and depending on the program, they're participating in, they can choose to buy an index of all or select individual loans based on credit profiles that they prefer. The difference here is it is out that this program is outside of that core LendingClub criteria. This is investors who have worked to develop investment criteria that falls outside of our boxes. So these would be people, it is not people that have been given a yes and accepted a loan offer. The investors are choosing to fund, these would be people that would otherwise have gotten to know based on the criteria that we currently apply that are getting. So this is truly incremental. And so in this program, it's really the investors began to have a different view potentially on credit might have insight into a particular population reminder that we've got investors on the platform that have that come from credit backgrounds from some of the big card companies and or specialty finance companies that might have knowledge of different segments. So it's really incremental approvals and again across the spectrum with offers that we would not otherwise be making.
Eric Wasserstrom: So in other words they might have their own box and they'll plug it into your platform to basically fill that box with credit that that no one else on your platform would be seeking?
Scott Sanborn: That's right.
Eric Wasserstrom: And how is LendingClub going to derive economics from that?
Scott Sanborn: It's our standard economics, our standard transaction fee applies that turns all the interest we earn the transaction fee and we do the servicing.
Eric Wasserstrom: Got it.
Scott Sanborn: So it's indistinct from our core platform.
Eric Wasserstrom: So it is in fact clear incremental monetization of volume that it otherwise not currently being monetized there.
Scott Sanborn: I wish I said it that clearly.
Eric Wasserstrom: Okay. Thanks. That is all from me. Thank you very much.
Scott Sanborn: Thanks Eric.
Operator: Next question will be from Heath Terry with Goldman Sachs. Please go ahead.
Heath Terry: I was wondering if you could just dig a little bit I think I had some comments in your prepared remarks around sales and marketing efficiency. Wondering if you could just dig into that a bit, when we look at the 300 basis points of leverage roughly that you picked up year-over-year how do you think about the value of continuing to get leverage on that line versus driving faster originations or revenue growth associated with that. And as we look at sort of the competitive environment such that it is, how much of a role does that play in your cost of customer acquisition or the way you look at that sales and marketing efficiency?
Tom Casey: Heath, this is Tom. First I would say is that usually there's a tradeoff between efficiency and growth. We're actually seeing both go in line today. We're actually seeing our growth complemented by higher margins and that's what I was saying earlier, we feel like we can continue to grow and maintain that level of efficiency. This is just another clear example of the leverage of our scale, all the things that Scott mentioned message remaining in our data and our targeting but also just on our expense base. So a pretty significant lift and we expect that to continue through the end of the year and we see opportunities to further enhance that as we get some of these other ancillary pieces that Scott just mentioned.
Scott Sanborn: From a competitive standpoint, we feel that this positions us extremely well because of the investments we've made in our systems that are speeding or underwriting is a real competitive advantage. And what you're seeing is that we're able to grow and actually drive profit. And I think that's the key thing we want to share with you this quarter, we've been working on frankly for a year in a lot of areas and you're starting to see those returns this quarter and we've got them in our outlook for the rest of the year.
Heath Terry: That is really helpful. Just I guess somewhat related. When we look at sort of the broader rate environment and obviously we've had sort of no shortage of swings there as you get more and more data points out of this and I know you guys have been quite answering this question since long before you even went public, what are you learning about the way that your customers and on both sides both on the funding and borrowing side respond to different rate environments into these sort of swings?
Scott Sanborn: Heath I will start and indeed, we have been although when we answered this question before we went public, we had to talk about it theoretically and now we can talk about it in practice. And the good news is that it's played out pretty much the way we had anticipated it would and that this model is showing its ability to flex in different environments. As we talked about when rates went up the rate the prime rate went up and therefore the cost of new balances on cards went up which drove more consumers to look for ways to find savings. Cost of Capital also went up. And so we moved rates up but not necessarily in lockstep with the markets on the way up. We saw a cost of capital for different investors move at different paces the asset managers capital costs moved up more quickly and so we adjusted rates on the higher end of buying more quickly and bank costs moved up more slowly. And so we were able to move more slowly there. Now as for the first time in I think 10.5 years rates ticked down even if only modestly. We expect for the platform to continue to perform well, if nothing changes meaning pricing doesn't change to borrowers and all the rest then effectively what's happening is cost of capital just went down for investors. And if we don't move prices, the relative yield on our assets and the attractiveness of our asset goes up, what we expect will happen is that people will start to move on pricing and we will be watching those signals watching our investor signals, watching our borrower signals and finding the right clearing price across the platform. There is adjustments to be made and that you think part of that in the fair value marks right as you absorb the changes in the environment but the model is really able to operate through that and we are doing more and buildings more tools and capabilities to digest that data and move it into our management and operational processes with higher velocity.
Tom Casey: This kind of only has - one of unique things we get and share everyone is that we get direct feedback from all of our investors. They tell us what their risk profile is every day with what they buy and what returns they require. And so I told other people when you think about different cycles sometimes you see people reaching for credit on high risk of prime. In this example you're seeing it actually towards the higher quality prime. And so we made that adjustment over the last year but you need to get a feedback that we get from investors that others may not get. And it allows us to remix our platform very quickly.
Operator: The next question comes from Steven Kwok with KBW. Please go ahead.
Steven Kwok: I just had a question around the guidance and then the implied fourth quarter numbers. When I look at the guidance for the third quarter there is probably like a 5 million delta right with adjusted EBITDA but looking at the years like 15 million. And then similarly on the revenue side its 10 million for the third quarter and 30 million just was wondering if you can help us bridge the gap like why is the range a bit more wider for the full-year. And then secondarily, when I use the midpoint of both numbers it would imply like the margin - EBITDA margin coming down in the fourth quarter is that typically what happened seasonally? Thanks.
Tom Casey: Steven, it’s Tom. This is the power of numbers. We started with a guide for the year of $20 million on EBITDA, we tightened it down to $15 million now. And so what you're seeing is with our guide from 3Q are being only $5 million at least a wide guide for the back half of the fourth quarter that imply guide. But we feel very good about where we’re coming out through the second half - in the first half and we have an outlook for the full year that’s right middle of our guide for revenue. Feel good about the operational leverage we’ve had and we’ve taken out on the lower side but that result in a wider implied guide for 4Q. So we’re feeling pretty good where we are. Feel this is prudent from a full year guidance perspective and we’ll be happy to update you on our next call and where we think the fourth quarter will come out but this where we are at right now.
Scott Sanborn: But in terms of Q4 there is a seasonality to this business Q2 and Q3 historically are stronger Q4, Q1 are historically lighter in terms of overall consumer demand you can see that in the patterns of originations.
Operator: Our next question will be from Rob Wildhack with Autonomous. Please go ahead.
Robert Wildhack: One more on the Select Plus platform, is there any way you can quantify or give us a sense for the incremental approvals you think this platform can ultimately generate?
Scott Sanborn: I mean early days right now so as I mentioned earlier it’s not a meaningful contributor to overall origination. But in the course of time depending on where we are in the cycle and as the platform evolves, we think it has the potential to become more significant.
Tom Casey: This is just another example of leveraging our scale as Scott mentioned 14 million applications we view it solved customers, financial, challenges and we feel the partnering with the large risky investors it allows us to say yes to those customers seeking savings, and the extra membership leverage our scale and increases our margin.
Scott Sanborn: And importantly I didn’t say that - and importantly we’re also doing this within the context of a product LendingClub would offer to its customer. So this falls within our range of APR, these are you know installment loans with fixed rate so this is boxed within what we feel good about putting a LendingClub brand name on this well.
Robert Wildhack: And then I noticed the June securitization had a higher mix of A and B graded loans in the deal. And also excluded the EU owns, is there anything to extrapolate from that and maybe more broadly are you seeing any shifts in the types of loans being demanded through the various funding channels?
Scott Sanborn: Yes, a couple of things you're absolutely right it include more A, Bs. Any ease we actually have deemphasized those as I mentioned our investors are moving up to higher quality prime. And so we are generating more A's and B's as we’re targeting those customers. And so, by its nature you would see us have more A's and B's in our securitization, I think that just a naturally outcome of our mix. And it also resulted in us getting our first rating of our securitization by Moody's which is also our first rush and one that we want to continue to bring new investors into platform using those products. So that's just reflection of kind of the mix we currently running with.
Operator: The next question will be from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Most of my question have been answered but do you have a couple of follow-ups. First did you talk about what application growth was in the quarter? I know you mentioned improvements in rate of our conversion et cetera what was the application growth?
Scott Sanborn: Yes, the consumer demand continues to be strong applications were up about 23% year-on-year again against our toughest comparable quarter last year. And as you can see in our guide for the third quarter, we feel good about that that trend continuing. Jim, one, other thing worth mentioning is, as we are focused on improving marketing efficiency and driving conversion the application to loan ratio varies pretty widely by different types of channels. And we're pretty focused on identifying the apps we can convert and paying for those apps. So as a overall indicator of consumer demand, I think that one will be less predictive as going forward we get smarter and smarter about where we’re driving applications.
James Faucette: And then a couple of follows up maybe for Tom is that in your prepared remarks you seem to indicate that getting beyond your medium-term outlook of 25% operating margin would be reasonable and that make sense given how quickly you're making progress on that. But from a timing perspective how do you think about like continuing to push to the bottom line versus reinvesting any faster development of margin into other parts of the business.
Tom Casey: Yes, so we’ve indicated that the 25% is our new goal. We believe we can get there in 2021. Your timing is obviously important and the important thing though is to make sure that we are actually reinvesting some of these savings. So you're not seeing all the savings actually come through we’re actually reinvesting some of those already in things that I talk about. So you saw our tech expense go up a little bit this quarter for example where we’re really pushing ourselves to use some third parties the cloud, AWS and things like that that is different from where we were building everything inside. So there is a big push of investments back. Scott also mentioned the efforts we’re putting in with visitor member and product platform. These are two very, very important pillars of our strategy. We're spending tech resources and aligning our resources and our organization around those. They were critically important for our growth and so we are continuing invest in those areas. So we are balancing it already what you're seeing is just the amount of opportunity that we had that we’re executing again.
James Faucette: And then last question, Tom can you help us kind of cut through the fair value adjustments and think about what kind of good run rate is for net interest income at least for modeling purposes?
Tom Casey: So the net interest income has moved around a little bit as you know because of the average assets for the balance sheet. We come out of the year with a slightly higher balance than we did in 2Q. So you’re going to see some of that movement. What we try to do is look it as a bottom line of net interest income and fair value adjustments because that kind of brings everything together ties to give you the timing that’s been running about $10 million negative for the first two quarters. And in my prepared remarks I had indicated that we expect those levels to be in line with the second half of the year. But it's difficult to get the specific line because they do vary based upon how long we hold the loan and what the absolute amount of those loans are. So I would focus on net interest income and the fair value adjustment as a total number.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Scott Sanborn: I just like to thank everybody as we hope you heard today we feel good that the plan we set out actually going back to Investor Day 2017 is working. We feel good with the progress against the results and we look forward to updating everyone after Q3.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.